Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Computer Programs & Systems Third Quarter 2013 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded, Friday, November 1, 2013. I would now like to turn the conference over to Mr. Boyd Douglas, President and Chief Executive Officer, Computer Programs & Systems. Please go ahead, sir.
J. Boyd Douglas: Thank you, Charlene. Good morning, everyone, and thank you for joining us. During this conference call, we may make statements regarding future operating plans, expectations and performance that constitute forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. We caution you that any such forward-looking statements only reflect management expectations and predictions based upon currently available information and are not guarantees of future results or performance. Actual results might differ materially from those expressed or implied by such forward-looking statements, as a result of known and unknown risks, uncertainties and other factors, including those described in our public releases and reports filed with the Securities and Exchange Commission, including, but not limited to, our most recent annual report on Form 10-K. We also caution investors that the forward-looking information provided in this call represents our outlook only as of this date, and we undertake no obligation to update or revise any forward-looking statements to reflect events or developments after the date of this call. Joining me on the call this morning is David Dye, our Chief Financial Officer. David and I have a few minutes of prepared comments, and then we'll be happy to take your questions. In the third quarter, we installed our Financial and Patient Accounting System in 6 hospitals and our core clinical departmental applications at 5 facilities. Additionally, 4 hospitals implemented nursing Point of Care and 36 customers went live with physicians applications, which consist of ChartLink, CPOE and Physician Documentation. Add-on sales to existing clients were $10.3 million, or 22% of total revenue for the quarter. At this time, we expect to install our Financial and Patient Accounting System in 8 facilities in the fourth quarter. We anticipate 10 new installations of our core clinical departmental modules, 10 nursing Point of Care implementations and 37 installations of physician applications. Now that we've covered some of the metrics, I'd like to share with you some overall observations. The first item I would like to note is the return of our installation numbers to a more traditional level in the fourth quarter. And speaking to this in our previous call, we were confident that reduced installation numbers in the third quarter were a short-term fluctuation. Our installations that are scheduled for the fourth quarter has proven our perspective to be accurate and we certainly expect that success to continue into 2014. Repeating the thought that I've shared with you numerous times, our market is subject to a degree of short-term volatility and the reasons for that are not always readily identifiable. A major reason we are positive about our prospects going forward is that our track record of Meaningful Use success continues to grow. We are now at 393 hospitals that have successfully attested, which remains significantly ahead of any other competitors in our space, in the top 3 of all vendors in complete EHR certifications. Our Meaningful Use Stage 2 compliant version, Version 19, is already successfully installed in over 150 facilities, and we fully expect to have that -- the vast majority of our hospitals, more than 90%, on Version 19 by the end of the year. We believe several of our competitors will struggle not only with Stage 2 certification of their systems, but even more challenging from our perspective, successful adoption and attestation by their client base. This is where we have obviously excelled, and we feel strongly this will translate into increased opportunities for us. We also feel positive about 2014 because of new product releases targeted for the first quarter, both of which, we believe, will contribute significantly to add-on sales, as well as make our system even more attractive to prospective clients. We are now at the testing stage of a complete rewrite of our ambulatory EHR solution, which we anticipate having MU Stage 2 certified by the end of the year. We have had a tremendous amount of engagement and input from our physician community in this project and the feedback we've received from their review of the finished product has been extremely positive. Given that many of our hospitals own some, if not all, of the physician practices in their community, we believe this will better position us to take advantage of this opportunity. Also scheduled for release in the first quarter of 2014 is our emergency department application. This application has actually been in our plans for quite some time, but had to take a back seat to the MU initiative. The project was ticked back up in the latter part of 2012 and is now at alpha testing as well. Given that the emergency department is the primary patient intake area for most of our hospitals, the need to automate and capture patient data here is significant. All indications from our client base are that this is an application that will be very much in demand. Now, I'd like to update you on the progress of our services subsidiary, TruBridge. During the quarter, TruBridge executed 11 new accounts receivable and management contracts, 2 of which were for full services, and 9 for private pay and insurance follow-up services. One of the private pay contracts is with a hospital that has not utilized CPSI as their EHR vendor. On that front, we are excited about the pipeline of non-CPSI EHR prospects for TruBridge AR-related services. We are well ahead of where we anticipated in this endeavor. And based on our current prospects, we are looking forward to a strong fourth quarter for those contracts. Another area of TruBridge I would like to spend some time on is consulting. The demand for consulting services in the rural community hospital sector is exploding. ICD-10, EHR adoption, more stringent HIPAA requirements and the shortage of available expertise are all significant contributing factors. We now employ 26 full-time consultants, and we have been consulting -- and we have seen consulting contracts and revenue increase dramatically, 68% and 45%, respectively, year-over-year. We have no reason to expect this demand will do anything but to continue to increase as market awareness about this service increases outside the CPSI client base. All of which goes to say, we are increasingly confident of the substantial business opportunities that exists for TruBridge to provide their services to all rural and community hospitals, not just CPSI EHR system clients. With that, I would like to turn the call over to David for his comments.
David A. Dye: Thank you, Boyd, and good morning, everyone. I have just a minute of prepared comments, and then we'll take questions. Our employee headcount as of September 30 was 1,420, up 10 sequentially and down 21 year-over-year. The total accumulated unrecognized revenue related to first generation Meaningful Use contracts as of September 30 was $3.7 million. As of today, this figure is $2.8 million and is comprised of 3 hospitals. We expect all of these remaining unrecognized revenue to be recognized in the fourth quarter. 4 of the 6 new client installs we performed in the third quarter were Gen 2 contracts, 1 was SAAS, and 1 standard. Of the 8 scheduled fourth quarter installations, 5 of our Gen 2 contracts and the remaining 3 are standard payment term contracts. Since December of 2012, we have performed 22 new customer installs under Gen 2 contract terms. Of those 22 implementations, 19 have successfully attested for Medicare Meaningful Use as of today. In September and early October, we noticed a slowdown in the processing and payment of Medicare Meaningful Use funds to our client hospitals by CMS. It is unclear if this is a result of the first threatened and then eventual government shutdown, but it would certainly appear to be related. However, within the last 2 weeks, several of our customers have been paid for their medical -- Medicare Meaningful Use funds and several others have been moved to the locked for payment status in the CMS system, which, in our experience, typically means they will receive their funds within 3 to 4 weeks. Based on this -- because of this and based on our record fourth quarter collections experience last year, we currently expect well above average cash collections in the fourth quarter. Finally, our total backlog of $163.4 million as of the end of the third quarter, is a record by $5 million. A large component of this increase consists of software and services needed to achieve Stage 2 Meaningful Use objectives, both for new client hospitals and existing customer facilities. We believe this bodes well for continued growth and execution in the fourth quarter and well into 2014. And Charlene, if you could please open the call for questions.
Operator: [Operator Instructions] Our first question comes from the line of Jamie Stockton with Wells Fargo.
Jamie Stockton - Wells Fargo Securities, LLC, Research Division: I guess maybe just to start off with the Stage 2 commentary or a couple of questions around Stage 2. It sounds like you guys are making a lot of progress with your current install base. 2 questions: one, for the hospitals, the 150 or so that have already been implemented Stage 2 compliance software, what's the experience that they have had so far? Can you give us any color on their experience as far as trying to hit the higher usage threshold? I mean, is it something that they're generally able to do, and we shouldn't ultimately see any issues with being able to meet Stage 2? Or do you feel like that is part of what is driving a lot of the demand for the consulting services that's helping them to make sure that they're getting over those thresholds?
J. Boyd Douglas: I feel reasonably strongly, Jamie, in saying that it is something that's generally able to do, to borrow from your phraseology there. I feel that because at this point, anybody that's trying to go from a threshold of 30% to over 60% was CPOE. And now, with the implementation and utilization of BizTalk, I mean, they've got a physician staff at the hospital that's now familiar with the look and feel of the technology. They've had -- they've experienced success with it. And so it's a much easier hurdle to jump over than it was to go from nothing to ChartLink and then CPOE in the first place. We don't -- we certainly haven't had anybody actually attest it, and I think that part of the reasons why the backlog jump is a lot of hospitals that are purchasing the software to be able to attest in the first half and probably even particularly in the second, third quarters of next year. Which, as you know, is the timeframe in which -- those hospitals that attested for Stage 1 in 2011 and 2012 need to attest by October of 2014. So I mean, we're hearing a lot of positives and variable negatives about those applications. As for your comment about the consulting services, I do think hospitals that I think most notably don't have full-time staffing in their IT departments with clinical professionals. In many cases, lean on our consulting services to help them either roll out this stuff initially to their physician staff or to complement the addition of, say, a Physician Documentation application on top of what they already have.
Jamie Stockton - Wells Fargo Securities, LLC, Research Division: Okay. And then just to stick with Stage 2 and kind of changes in the marketplace it could be driving, it does seem like some of your competitors, like you alluded to, or I think actually maybe Boyd alluded to, are having some issues with Stage 2 haven't gotten certified yet, or hadn't gotten all their systems certified yet. Have you seen an inflection point in the number of RFPs that are coming out because some of your competitors' legacy customers aren't going to have a Stage 2 certified product that they're on today? Or is that something that you think is still to come as far as the pipeline is concerned?
David A. Dye: In influx, it might be a bit strong, but we are certainly -- we certainly have, and as recently even as yesterday, have new prospects that have attested successfully to Stage 1 with another vendor that has not yet achieved Stage 2. And we think and have been told that the primary reason they are now looking at us aggressively is because we are. So -- in the second part of your comment -- question, we do expect more of that.
Jamie Stockton - Wells Fargo Securities, LLC, Research Division: I'll ask a question...
J. Boyd Douglas: And I'll -- and just to add a little bit to that, Jamie, this is Boyd. In addition to that, like David said, these hospitals have achieved Stage 1, but it was a real struggle. And we certainly can present them with customers of ours, that we can demonstrate to them that it wasn't necessarily a struggle for their facility. And a lot of times, we struggle just to -- and that's kind of the second part of my comment. Getting certified is one thing, but we think even the bigger challenge is the usability of the software and getting people to use it, and that's where a lot of hospitals are struggling as well. Yes, they achieved Stage 1, but it wasn't easy.
Jamie Stockton - Wells Fargo Securities, LLC, Research Division: Okay. Boyd, would you report the -- or repeat the growth statistics that you threw out about the consulting business one more time for me? And I'll leave at that.
J. Boyd Douglas: Sure. The consultants -- first of all, we've now got 26 full-time consultants. Consulting contracts year-over-year are up 68%, the number of consulting contracts. And the revenue from those contracts, or the revenue from our consulting division is up 45% year-over-year.
Operator: Our next question comes from the line of Ryan Daniels from William Blair.
Ryan Daniels - William Blair & Company L.L.C., Research Division: I want to follow-up on your commentary in the strong demand in the consulting services. I guess, number one, just curious if that's both inside and outside of your customer base or if you're just focusing on your customers. And then number two, given the growth there, are you having any difficulty ramping the workforce quick enough to have enough fully trend consultants to get on the field to meet this demand?
David A. Dye: The consulting, at this point, primarily consists of existing customers. We have -- I believe we have 2 customers outside of CPSI EMR customer base that have contracted for consulting services as of today, and certainly an area that we think there will be, hopefully, substantial growth in the future. However -- I mean, certainly, the growth numbers that Boyd presented were primarily and substantially within the CPSI EHR base. In terms of the second part of your question, generally speaking, I would say no. We don't have too much trouble, both from a combination of getting folks from -- that have worked successfully as clinicians and IT professionals in hospitals and also, in some cases, getting similar folks with similar talents that have worked for CPSI for any number of years that have shown the ability, especially to work with clinicians and in particular, physicians at our client facilities. So I mean, it's always a challenge to find good people to do anything. But I would say we've had a lot of success ramping those numbers up, and we're not -- it's not something we're particularly concerned about going forward. We think we'll be able to get good people.
Alexander Y. Draper - Raymond James & Associates, Inc., Research Division: Okay, great. And then it certainly sounds like TruBridge, the reception in the market and kind of results, thus far, have been ahead of plan. It sounds like Q4 has a good pipeline. Is there anything in particular that have surprised you, especially as you've gone outside of the CPSI customer base? It sounds like you are at 3 facilities now, maybe seeing more demand there. So just curious if you have any color on what's driving that above your expectations.
David A. Dye: No, nothing, I don't think, particularly insightful other than the fact that we thought based on our experience with Business Management Services, prior to being TruBridge, within our current customer base, it appeared obvious that this is -- these services were something that small hospitals were clamoring for. And if they don't necessarily need to be provided by their IT vendor, it can be independent of that. I think we've just -- that's -- perhaps it has played out a little bit more positively than we might have hoped it would at this point. So I think the bottom line is as if it's something that the hospitals need and you've shown success and can show -- you can demonstrate very easily to the prospect that you have had success providing those services, and it's a relatively easy sale.
Ryan Daniels - William Blair & Company L.L.C., Research Division: Okay. And then 2 more quick ones. Just in regards to the Gen 1 Meaningful Use, as you exited second quarter $3.82 million and you mentioned in the press release and I think your comments, it was $3.7 million. So what -- I know it's small, but what was the reason for the $120,000 down tick during the quarter?
David A. Dye: The monthly payments that hospitals make us prior to getting their Meaningful Use money with Gen 1 contract.
Ryan Daniels - William Blair & Company L.L.C., Research Division: Yes, makes sense. And then last question, just on the pipeline, you discussed this a little bit but just want to get a feel for kind of year-over-year, what you're actually seeing in the pipeline. I don't know if you have growth metrics you can talk about, year-over-year growth. I know you kind of indicated, the competitive market might be loosening with some of the Meaningful Use Stage 2, but do you have a feel for the overall pipeline size?
J. Boyd Douglas: I'd say the biggest component, which we believe is a net positive, is it's comprised more of potential replacements because of what we already talked about with Jamie's question about folks moving to Stage 2. It's more of that, than just hospitals that still need to get a system in order to even attest for Stage 1. So, I think we characterized it as solid, and I'd say similar in number to what it was a year ago.
Ryan Daniels - William Blair & Company L.L.C., Research Division: Are you seeing a better win rate, or is it too early to tell? I mean, again, given that none of your competitors appear to be certified.
David A. Dye: We have definitely seen a better win rate in 2013 than we had in 2012.
Operator: And our next question comes from the line of David Larsen with Leerink Swann.
David Larsen - Leerink Swann LLC, Research Division: There was a pretty good decline in operating costs sequentially. Can you just clarify what drove that please?
David A. Dye: Nothing specific. Again, based on our first quarter experience, our insurance costs have continued to go down. Which, again, repeating is, in large part, unpredictable. 401(k) match is completely done for the year essentially, so those -- we have factors that -- they influence the first and second quarter and they're certainly better in the third. But other than just general cost control, that's it.
David Larsen - Leerink Swann LLC, Research Division: Okay, that's helpful. And then can you talk a little bit about the rewrite of ambulatory product? Is this a new product that can go into standalone physician offices in the community? Or is it more of the product that's still attached to the core hospital solution?
J. Boyd Douglas: It certainly can go in a standalone. We have, for 20 years now, not marketed it to standalone physicians. We didn't market it to the hospitals that either own or manage a physician practicing and we haven't changed that philosophy at all. But certainly, it can be run in standalone. More importantly and certainly, what we bring to the table that we feel like no other vendor really does, is it's fully integrated. So to your point of is it tied in with the hospital, it is the hospital. It's one big database. It's one big set of data for these patients across the continuum of care and so that's a distinct advantage that we've got over most of our competitors that have either acquired or partnered with a third-party physician's platform.
David Larsen - Leerink Swann LLC, Research Division: One fully integrated platform gives you a competitive advantage in some cases, okay. And then can you just talk about who you're winning share from? Like if we assume the last 90-day window for hospitals to attest and receive 100% of Stage 1 dollars, in many cases with 7/1/13 to 9/30/13, and we're now moving obviously beyond that window. But how sustainable do you see this demand for core solutions? Like are you -- who are you winning share from? Are there still greenfield opportunities?
David A. Dye: Yes, I don't want to -- we don't want to comment on who we're winning share from, in particular. There's only a handful of folks that are out there so you can probably guess. But in terms of greenfield opportunities out there, there's not a whole lot left. And critical access hospitals have another year here for Stage 1, so there are still some critical access hospital greenfield opportunities that will continue throughout the majority of 2014. But in large part, after that, the greenfield opportunities will disappear, which is why we've made comments on the last 2 or last 3 calls or whatever about how pleased we are that our pipeline now, the number of replacement hospitals in the pipeline in terms of -- when we say replacement, we're talking about hospitals that are on a vendor on which they either have or have the capability to get to Stage 1 Meaningful Use. But they are looking to someone like a CPSI to get them to Stage 2 and beyond.
Operator: And our next question comes from the line of Bret Jones with Oppenheimer Funds.
Bret D. Jones - Oppenheimer & Co. Inc., Research Division: Wanted to just ask quickly on the total number of core installs? It looks like it's going to hit about 31 this year. I know at the beginning of the year, you were budgeting 35. Did that just become an unrealistic number with the 3Q installs? Or did you have capacity to have potentially made the full year number in the fourth quarter and -- or did the deals just slow?
David A. Dye: The 35 was a number that I threw out in conjunction with our annual guidance in the first quarter and we'll do again for 2014 on the next call. Yes, I mean, certainly, the fact that we did 6 in the third quarter hurt our potential to reach 35. I mean, internally, it's not something that we're particularly concerned about. It's just a metric that we like to provide the investment community: Here's what we're thinking. And I think our add-on businesses had certainly more than made up for it. We -- what we do think about internally is, are we getting in the deals that are out there? Are we being considered? And certainly, that's the case. And then how are we doing competitively once we are in those deals? And we feel very good about that right now.
Bret D. Jones - Oppenheimer & Co. Inc., Research Division: That makes sense. I was also wondering about the ASP, if you could talk about that. And in this quarter, if we look at -- and if we look at system sales relative to the number of installs you did this quarter, it feels like the deal size had to -- have been larger. I was just wondering if you -- intuitively, are we -- should we expect -- I would expect smaller deals going forward?
David A. Dye: No, the deal size is -- has been creeping up. And I don't want to say that it will go up much from what they were maybe in the third quarter, but this is for relatively obvious reasons. And that anybody that installs our system at this point has to install essentially all the modules upfront because they're either installing the system in somewhat of a rush to get -- to be able to attest to Stage 1 or they've already attested to Stage 1, so certainly, you replace all the functionality that you currently have plus look to install the functionality that you need for Stage 2 in a relatively short timeframe. So obviously, gone are the days of installing financial and patient accounting applications and then 6 months to a year later, some clinical and then 6 months to a year later, doing Point of Care and the physician apps. I mean, basically, everything is being installed upfront.
Bret D. Jones - Oppenheimer & Co. Inc., Research Division: All right, great. And then just one last one. I wanted to just talk on -- or touch on your allowance for doubtful accounts. It's holding pretty steady. The Gen 1 deals have been pretty stubborn to roll off. And I know you said that government shutdown might have had an issue there. Is there anything that we should be concerned about in terms of the ability to collect the Generation 2 deals?
David A. Dye: No, we're not. We feel really good about that, especially -- I will say, to be frank, we feel a heck lot better about that than we did 2 weeks ago just because the money has -- when I say the money has been flowing in the last 2 weeks, some damn broke somewhere. So -- but no, and we haven't any of these go bad. As I've said before, really, the only risk is this -- at the time that we're holding that AR out there is that the hospital shuts down. That hadn't happened yet. We certainly don't expect that it would. But we -- our allowance is a percentage of our total AR, that's why the number has gone up during these Gen 2 deals, but we feel really good about it going forward. And as I alluded to on the call or stated on the call, we think our fourth quarter cash collection should be relatively substantial and therefore, if that's the case, the allowance numbers should go down.
Operator: Our next question comes from the line of Sandy Draper with Raymond James.
Alexander Y. Draper - Raymond James & Associates, Inc., Research Division: A couple of quick questions. I got on the call a little bit late. So David and Boyd, I don't know if you had talked about -- the outsourcing was down a touch sequentially, still up nicely year-over-year. I think it did the same thing last year. I'm just trying -- is there some sort of a seasonal pattern there? Because obviously, it sounds like things are growing, I'm just trying to understand the sequential downtick, what drives that.
David A. Dye: Yes, they are growing, and that's certainly a number that we'd look probably anything else -- more than anything else here we look at year-over-year. And it really has to do with -- a large percentage of that revenue is a percentage of cash that we collect on behalf of our customers, whether it's private pay, or full, or we run the full business offices or some combination thereof. And that can vary and that was the case quarter-over-quarter. But in terms of the number of overall clients, both within our current EHR base and outside continues to grow and that's...
Alexander Y. Draper - Raymond James & Associates, Inc., Research Division: Right. Okay, so there's no -- there's nothing in there that's an attrition where a couple of people left and it's down because of lost customers?
David A. Dye: That's correct.
Alexander Y. Draper - Raymond James & Associates, Inc., Research Division: Okay, great. That's the first question. Second, maybe a little bit of a follow-up to Bret's question. And I'm not sure -- I know you guys don't fine-tune and split hairs on guidance, but when you look at the broad range of guidance and then coming in sort of below that 35 target, it looks to me, especially if you end up getting the full $3.7 million, I guess, of the unrecognized contingent revenue, you're going to be closer to the midpoint of guidance would be my guess. And so I'm just trying to understand, it sounded like maybe -- so that the new sales may have been lower than you would have wanted relative to that guidance, but it sounds like you've made it up in other places. Did I hear it right that it's -- is it primarily add-on sales? Or were there other areas that sort of caught it up because I would think you'll be tracking more towards the low end of guidance with the miss on the new business? Just trying to understand where the different bearing points are there.
David A. Dye: Yes. I'm trying to steer clear of commenting on the guidance. But the -- I've already stated that add-on sales have sort of picked up the slack from doing less than a handful less of new installs than we might have anticipated at the beginning of the year. And the other thing too is also -- was alluded to, in response to Bret's question, which is the contract size. Even though we certainly anticipated that they would be substantial based again on all the applications that hospitals need to put in rather quickly, but that perhaps has been a little better than we would have thought to -- to help make up for that.
Alexander Y. Draper - Raymond James & Associates, Inc., Research Division: Okay, great. That's really helpful. And then one final question. You talked a lot in the prepared comments and some of the Q&A about folks around Meaningful Use Stage 2 with some of the new products and enhancements, et cetera. But I'm just curious, how much of -- is in your pipeline, if anything, people who haven't done really anything to -- it may not be totally greenfield, but they don't have a current system that's going to meet? And I'm just trying to understand the potential for any new demand as people focus on October 1, '15. We don't have a system that's certified. We start to hit the penalties. Has that -- where does that come into play as a driver versus the folks on Meaningful Use and Stage 2 and some other stuff?
David A. Dye: This wasn't the case a couple of years ago. But as of right now, I know of no hospital out there that's saying, "We're just -- we're on a system now that can't get us to Meaningful Use, and we're just going to make sure that we have that in place prior to October 2015, so that we don't get penalized." We do have a small amount of hospitals in the pipeline that are critical access, that are looking to get a system that they can attest to Stage 1 before October 2014. So I think that -- at this point, I don't think -- we think that there's going to be any implementations in Medicare fiscal year 2015 that are hospitals that are buying a system just to avoid the penalty. That could change, but we're not aware of any.
Operator: And our next question comes from the line of Richard Close with Avondale Partners.
Richard C. Close - Avondale Partners, LLC, Research Division: Yes. I just want to hit on the ambulatory rewrite a little bit more and I apologize if I missed this. But what is essentially the genesis of the rewrite, is it something where you've felt that maybe your offering was deficient compared to competitive offerings? Is it something that -- maybe you had lost a customer or 2 because of the ambulatory EMR? Just curious in terms of what led to that.
J. Boyd Douglas: Yes. Richard, the main driver that led to that is our success with CPOE and Physician Documentation. We took a lot of processes and procedures that have been put in place there that we've been wildly successful with and have merged those, I guess, if you will, into the EMR, but it was almost easier, or was easier when we made the decision to basically rewrite the MP-EMR portion of the system, and use a lot of those technologies, tools, programming languages, whatever, to do that. To achieve truly one system where when the physician logs in, if they want to enter an order, for example, that order entry screen is exactly the same whether they're in the hospital or whether they're over in the clinic. So, the main driver of that again was the development of the physicians applications on the hospital side, and we thought that had relevance to physician's clinic, so we did it that way.
Richard C. Close - Avondale Partners, LLC, Research Division: Okay. On the Generation 1 contracts, was the amounts that you recognized in the third quarter below what you had originally anticipated? Any thoughts around that?
David A. Dye: It's definitely below what we originally anticipated. It was only -- as I believe we spoke about with Ryan's question, it was only amounts that related to monthly payments that they make prior to achieving Meaningful Use. In the prepared comments, I don't know if you were on then, Richard, we're down now to, as of today, to $2.7 million, I think I said -- or $2.8 million.
Richard C. Close - Avondale Partners, LLC, Research Division: And do you think that was just timing or just...
David A. Dye: No, I think it was a delay in money flowing from the government. I know it was. I know when they attested and I know when they got paid. And we've had some recently take more than 12 weeks. That number was 6 weeks, 9 months ago.
Richard C. Close - Avondale Partners, LLC, Research Division: Okay. Any thoughts around ICD-10, how your customers are dealing with that? Is that any of the consulting and advisory services that you're offering? Any help on that would be great.
J. Boyd Douglas: Sure. We're certainly -- got all the ICD-10 software out there in Version 19. So it's out and available. Absolutely, it is driving a lot of the consulting business. There's a lot of unknowns and a lot of training that we can do on the front end to help ease that. And really, as a follow-up to Sandy's question a minute ago, as far as driving factors for people looking for systems, I think a lot of people were overlooking what ICD-10 potentially could be for us because while there may be companies out there that can meet Stage 1, there may be some questions surrounding ICD-10. Are they're going to be ready for that? At least, if you look at history, that's always been a driver. If there's ever a major change to the billing aspects that usually eliminates some of the competitors or has products get sunset because vendors are not willing to update those products that handle that. So certainly, ICD-10 is a big factor out there that I think because of all the Meaningful Use talk, a lot of people are overlooking.
Richard C. Close - Avondale Partners, LLC, Research Division: Okay. And my final question would be given Meaningful Use Stage 2, and thinking about people possibly switching vendors in order to do that, you talked a little bit about that. But as we think about 2014 and I know you're not going to give guidance, anything on this call, but conceptually as we think about 2014, do you think it's a little bit more on the decision front end loaded, and implementation front-end loaded the first half of the year? Or how do you think about how things will progress throughout the year in 2014?
David A. Dye: There is certainly an argument that it will be front half loaded for the reasons that you are well aware of, both for new client business and add-on business. Now whether that comes to pass or not remains to be seen. There will still be -- we've had 100-something customers attest to Stage 1 Meaningful Use in 2013 that will attest to Stage 2 Meaningful Use in -- Medicare fiscal 2015 which -- obviously, that provides a great opportunity for us beyond -- in the back half of 2014 and the first half of 2015. But I mean, to honestly answer your question right now is there's certainly logic behind the fact that it would be front half heavy.
Operator: And our next question comes from the line of Sean Wieland with Piper Jaffray.
Sean W. Wieland - Piper Jaffray Companies, Research Division: I want to clarify something. Did you say that there was $10.3 million of add-on revenue in the quarter?
J. Boyd Douglas: Let me go back to that number, Sean. That sounds right, but let me -- where is that in my notes?
Sean W. Wieland - Piper Jaffray Companies, Research Division: And is that -- help us break that out. Is that all system sales revenue, or is that some support maintenance? And did some of that include TruBridge?
J. Boyd Douglas: No, it's all system sales. And it is $10.3 million.
Sean W. Wieland - Piper Jaffray Companies, Research Division: I'm sorry, you said it was all system sales?
J. Boyd Douglas: Yes.
Sean W. Wieland - Piper Jaffray Companies, Research Division: Okay. So if that's all system sales, and we're looking at a system sales number of $16 million and there wasn't really any, the $100,000, I guess, of SAAS of Gen 1 conversion revenue. I guess I'm having a hard time getting down to your system sales number without taking the average selling price of the modules that you sell, and you said that you're seeing an increase in average selling price. So can you maybe help me figure out the system sales number a little bit?
J. Boyd Douglas: I'm not necessarily following you. I've got a guess right on top of my head, and I don't remember what the number David gave was, but at least one of the installs was an ASP model. So we don't get the revenue from that when we install it. I don't remember...
Sean W. Wieland - Piper Jaffray Companies, Research Division: Okay. And just what I'm thinking is, do you remember what the add-on revenue was last quarter?
J. Boyd Douglas: I do not. It would've been in my prepared comments, or -- David might have it.
David A. Dye: $9.6 million.
J. Boyd Douglas: $9.6 million.
Sean W. Wieland - Piper Jaffray Companies, Research Division: It was $9.6 million last quarter. Okay. All right, great. And then you said you didn't want to take the bait on guidance, so I'll try to go fishing a little bit. I mean, can you steer us towards the low end or the high end of the full year range for this year?
David A. Dye: No, no. We don't do that.
Sean W. Wieland - Piper Jaffray Companies, Research Division: Okay. How do we think about looking into next year? How do we think about earnings growth with this conversion [Audio Gap]
David A. Dye: How do we think about it with this what?
Sean W. Wieland - Piper Jaffray Companies, Research Division: With respect to earnings growth for next year, given that the high-margin conversion revenues is going to fall out of the model?
David A. Dye: We provide guidance for next year at the first quarter earnings release in the first quarter call.
Sean W. Wieland - Piper Jaffray Companies, Research Division: Okay. I'll hold tight until then. And one last question then, a few questions asked on the EHR. Do you know how many physicians in total are employed by your existing customer base, and maybe how many are affiliated? Just to give us a size -- a market size for that.
David A. Dye: We don't -- that would be an interesting number, frankly. I don't think we have that. I do -- we mentioned in our little "About CPSI" thing at the end of our press release is that our existing -- utilized by 12,000 providers, but that's not broken out by how many are owned or how many are affiliated. But I would -- we might look into that, that would be a good number to know.
Operator: And our next question comes from the line of Leo Carpio with HM Global.
Leo F. Carpio - HM Global Capital LLC, Research Division: I actually got 2 questions. First, can you provide us an update on the competitive environment in terms of how it -- in terms of what competitors are you seeing? Are you still seeing some of the larger players will come in? And is consolidation a possible -- still a headwind for you? And then the second question, in terms of the pipeline, it sounds like TruBridge is starting to make some inroads in the non-CPSI base. Is that building -- is that building up very well into next year?
David A. Dye: The second part of your question, first, is fresh in my mind. I mean, yes, it's -- the non-EHR component of the prospects within TruBridge's pipeline is certainly building into next year. And we're very excited about that for next year, and beyond. The competitive environment, maybe 2 general comments: one, being that the competition from what we sort of think around as the low end of the market, those that have entered the space at the very small hospital end of the market within the last couple of years has certainly decreased and has continued to decrease. I think some of those vendors have struggled substantially with implementations and getting their hospitals to Stage 1 Meaningful Use much less, getting their own systems certified for Stage 2 and then being able to think about getting their hospitals to successfully attest for Stage 2. So that's been a positive for us both in terms of replacing some of those implementations and then not having some of those vendors as competition in new deals that we're working on now. We are seeing, at least certainly in the last quarter, we saw a bit more Cerner than we have in the past and that's a question that we've consistently gotten from the investment community. And we don't know yet this if is a trend and that will continue, but it is something that we definitely noted in the last quarter. I think those were your 2 questions.
Leo F. Carpio - Caris & Company, Inc., Research Division: Okay. And then just one last follow-up question. In the prior years, you've had a true-up in the health care costs in the fourth quarter. What are you seeing now in terms of your health care costs? Is it normal trend, or if there's some sort of true-up being or -- I'm just wondering how that's trending in the 4Q so far. Or what do you think so far in the year?
David A. Dye: Are you talking about our self-insurance cost?
Leo F. Carpio - Caris & Company, Inc., Research Division: Yes, your self-insurance cost.
David A. Dye: Yes, as you saw from what happened in the first quarter and then it being so ridiculously high and then it's relatively low in the third quarter, I mean, I think, it's very unpredictable. I have no way of knowing what that number is going to be in the fourth quarter, it depends on our claims experience. However, as we said in the first quarter, we've met our deductible for the shock loss, so that limits the high-end exposure somewhat. So I certainly don't expect that it would reach a number as high as the first quarter, even in the worst-case scenario.
Operator: And our next question comes from the line of Frank Sparacino with First Analysis.
Frank Sparacino - First Analysis Securities Corporation, Research Division: Just one quick one, going back to the ambulatory side. Boyd, I think, in your comments, I'm just trying to figure out, for the existing users today, will the new product be essentially a free upgrade? Just trying to reconcile that with your comments around being a significant contributor to that on sales next year.
David A. Dye: Yes, it will.
Frank Sparacino - First Analysis Securities Corporation, Research Division: Okay. So is your belief then that there are more physicians you'll be able to attract with the new product? Or, how do you look at sort of the add-on contribution next year from that?
J. Boyd Douglas: Absolutely. We think there's lots of physicians out there that will -- in a big variance in this product, that are dissatisfied with our -- kind of similar parallels. They have met Stage 1 with whatever product they're using, but the lack of integration is very frustrating for them and they realize, going forward, with everything being electronic in an EMR, that lack of integration is going to be key. And we feel like we've got a great solution for them.
Operator: [Operator Instructions] And our last question comes from the line of Gene Mannheimer with B. Reily & Co..
Eugene M. Mannheimer - B. Riley Caris, Research Division: David, just to clarify it for me, the amount of revenue that has yet to be recognized from your Gen 1 contracts leftover from last year is $2.8 million, or $3.7 million?
David A. Dye: $2.8 million as of today. It was a $3.7 million as of September 30.
Eugene M. Mannheimer - B. Riley Caris, Research Division: And with respect to MU at this stage, certainly, last year, we saw a big second quarter followed by a hangover effect, if you will, in the third quarter. Is it shaping up to look like that again in 2014? Again, I want it, short of giving specific guidance.
David A. Dye: Yes, I think -- I believe as we were talking about with -- I don't remember, it's either Richard or Sandy, it -- there is definite logic behind the fact that the 2014 could be front half loaded. We'll see how it plays out, but it's an interesting combination of somewhat of a final opportunity for critical access hospitals to attest for Stage 1, and at the same time, hospitals that attested for Stage 1 in 2011 and '12 needing to attest for Stage 2, and needing to install the products necessary to do that prior to the end of approximately June. So that they can attest to that by October, so their 90-day window can begin at the beginning of July. So we'll see how it plays out.
Eugene M. Mannheimer - B. Riley Caris, Research Division: Okay. And then, Boyd, can you give us a feel for maybe the percent of customers in your base that would be likely to adopt the ED product beginning next year?
J. Boyd Douglas: Beginning next year, I would say half over the next several years. Half would be -- that's what we're looking at.
Eugene M. Mannheimer - B. Riley Caris, Research Division: Okay. So there are certainly a portion of your base that is using some competitive ED product that they're probably not inclined to switch out of?
J. Boyd Douglas: Certainly, yes, that's right.
David A. Dye: And there's also hospitals that don't have ER volume large enough to justify purchasing a product from anybody.
Operator: Mr. Douglas, there are no further questions at this time. I will now turn the call back to you. Please continue with your presentation or closing remarks.
J. Boyd Douglas: Great. I appreciate everyone's time this morning. Thanks for your interest in CPSI and hope everyone has a great weekend.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your line.